Operator: Good day, and welcome to the Fiesta Restaurant Group First Quarter 2022 Earnings Call. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I'd now like to turn the conference over to Mr. Raphael Gross, Partner at ICR. Please go ahead.
Raphael Gross: Thank you, operator. Fiesta Restaurant Group's first quarter 2022 earnings release was issued after the market closed today. If you have not already accessed it, it can be found on the company's website www.frgi.com under the Investor Relations section. Before we begin, I'd like to inform you that during the call today, the company will make various statements that are not based on historical information. These forward-looking statements include without limitation, statements regarding the company's future financial position and results of operations, business strategy, budget, projected costs and plans, and objectives of management for future operations. Actual outcomes and results may differ materially unless expressed or forecasted in such forward-looking statements, and the company can give no assurance that such forward-looking statements will prove to be correct. Important factors that could cause actual results to differ materially from those expressed or implied by the forward-looking statements can be found in the company's SEC filings. Please note that during today's conference call certain non-GAAP financial measures will be discussed, which the company believes can be useful in evaluating its performance. Any discussion of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and a reconciliation to comparable GAAP measures is available in the company's earnings release. On the call with me today are President and Chief Executive Officer, Rich Stockinger; Chief Experience Officer and Senior VP of Strategic Initiatives, Patty Lopez-Calleja; and Chief Financial Officer, Dirk Montgomery. And now I'd like to turn the call over to Rich.
Rich Stockinger: Thank you, Rafe. I'd first like to thank all the investors and other participants on the call today for their continued support. I'll be covering three topics today: a business update and overview of the first quarter results, the status of our strategic priorities and thoughts on 2022. Dirk will then wrap up with a financial update before we open the call for questions. We also have Patty Lopez-Calleja, our Chief Experience Officer and Senior VP of Strategic Initiatives here with us to provide more color on our digital status during the Q&A session. We continue to make good progress in our business in the first quarter with revenues continuing to show positive upward trends and margins showing sequential improvement from the fourth quarter of 2021 to the first quarter of 2022 with the margin run rate late in the first quarter positively impacted by the planned price increase implemented in early March. Additionally, we made significant progress on the brand's growth agenda, which we shared previously and we anticipate continued progress on our growth initiatives throughout the balance of the year. Regarding first quarter results, our strong revenue growth continued with first quarter 2022 comparable restaurant sales performance of 8% versus first quarter of 2021 and we have now generated comparable restaurant sales results at or above 2019 levels for three consecutive quarters despite lost operating hours, some staffing issues and remodeling disruptions in select units. We generated even stronger first quarter 2022 comparable restaurant sales of 11.1% versus the first quarter of 2021 in markets where labor shortages have not negatively impacted operating hours. Encouragingly, our digital initiatives contributed to online channel first quarter 2022 comparable restaurant sales growth of 15.5% versus the first quarter of 2021. After adjusting for our estimates of the impact of staffing and remodeling disruptions, we believe comparable restaurant sales for the first quarter of 2022 compared to 2021 would have been approximately 60 to 90 basis points higher. First quarter 2022 restaurant-level adjusted EBITDA margins, a non-GAAP financial measure improved to 16.1% compared to 14.3% in the fourth quarter of 2021. Following the 5% pricing taken in early March, estimated restaurant-level adjusted EBITDA margins grew to above 17% on an approximate run rate basis. We continue to target restaurant level adjusted EBITDA margin of 18% to 20% as our sales growth and labor optimization initiatives increasingly gain momentum. When compared to the first quarter of 2021, our restaurant level adjusted EBITDA margins declined during the first quarter of 2022 primarily due to total labor and food cost increases, which were partially offset in the quarter given our pricing action to offset those costs in the last months of the quarter. Dirk will provide additional details regarding first quarter results as part of his prepared comments. As we communicated previously, the completion of the Taco Cabana sale in 2021, enabled our singular focus on significant growth opportunities in the Pollo Tropical business. I also previously discussed our agenda for capturing that growth for Pollo, focusing on four areas of strategic opportunity and again we made strong progress in each of those areas in the first quarter of 2022. First, we continue to concentrate activity on accelerating growth in non-dine-in channels and improving the guest experience across all channels to better enable our customers to access and enjoy our brands wherever and whenever they choose. Next, we continue to enhance our digital platform and make improvements in customization, ease of use and speed of service for off-premise guests, including an enhanced digital drive-through experience, curbside pickup enabled by geofencing technology and the introduction of QR kiosk in-hand technology for ordering and payment. The third area of focus is to continue to assertively execute against our refined Pollo Tropical brand proposition through a more relevant, contemporary and efficient unit design, guiding our investments in refurbishments as well as new unit expansion. And lastly, we are placing intense focus and increased investments in developing our store and field talent with a major focus on our field management teams and structure. Regarding our efforts in driving growth across all channels, we continue to drive year-over-year growth in delivery channel with comparable restaurant sales growth of 17.8% in the first quarter of 2022 versus first quarter of 2021. In addition, first quarter 2022 online comparable same-store sales grew 15.5% compared to 2021. And current online check averages in 2022 continue to be above the average of all other channels. Finally, dine-in and counter takeout sales are showing strong growth as consumers become more comfortable with the dine-in experience with dine-in encounter takeout comparable restaurant sales growth of 23.1% in the first quarter of 2022 versus 2021. On the digital front, we made great strides in the first quarter enhancing our digital capabilities. The rollout of upgraded digital drive-thru technology is underway after completing the pilot location in late fourth quarter 2021. We will have expanded the digital drive-thru technology to five or six additional units by the end of the second quarter and we plan to increase the rollout pace of this additional feature during the remainder of the year in 10 to 14 additional units. We are targeting 3% to 5% growth in drive-thru revenue on a run rate basis within the first year following each digital unit installation. As a result of improved staffing levels, we also reopened curbside capability in all units. Curbside technology has the capability to drive significant sales growth based on our experience to date and on competitive benchmarks and we plan to add marketing support behind this effort in the immediate future. Growth in digital sales channels that's delivery and online was very encouraging in the first quarter with 17.2% comparable restaurant sales growth versus the first quarter of 2021 and over triple the comparable restaurant sales dollars compared to the first quarter of 2019. Results like this underpin our strong belief that there is even greater upside to come from our past and current investments in the digital platform enhancements. We also made very good progress on our third priority in the first quarter, refining our new unit and refurbishment designs that include multiple ideas for improved kitchen productivity, driving increased output, lowering wait times and delivering greater labor efficiency. Our focus this year is targeting investment to complete 20 to 30 refurbishments of varying scope levels to grow traffic, while continuing to refine and execute our kitchen productivity ideas. To-date the sales lift following completion of refurbishments is exceeding our initial expectations by approximately 300 basis points to 400 basis points. Improving kitchen productivity in higher volume units is very important because we are seeing consistent evidence that we have unmet demand at peak dining times due to above-average wait times. As a reference, our average drive-thru car stack line at peak times is approximately nine cars creating longer-than-expected customer wait times. By reducing kitchen cycle times we can unlock unmet demand to drive meaningful sales growth in existing units. As a result of the work completed on the 2.0 new unit design and kitchen productivity research by TPA, a highly experienced kitchen design optimization consultant we have developed a number of solutions to drive an improved customer experience while increasing kitchen productivity. These solutions include one, installing an additional kitchen/make-line dedicated completely to online and delivery orders coupled with a dedicated order identification and pickup system; two and secondly, retrofitting a total redesign of our existing make-line to be significantly more efficient improving workflow to reduce our cycle times. Early in the first quarter we worked with TPA to validate the efficiency improvement potential of the kitchen retrofit in a test kitchen site and the results exceeded our expectations. At the conclusion of our initial test, kitchen order cycle times were cut roughly in half which would result in improved drive-thru productivity from the current average of approximately 40 to 50 cars per hour to approximately 80 to 100 cars per hour presenting a significant revenue opportunity at peak times. Based on just a 10 car per hour increase through improved productivity at peak lunch and dinner hours the revenue improvement potential represents a 5% revenue growth opportunity per unit. We will continue to refine and execute these kitchen productivity enhancements in refurbishments and in existing restaurants. The first remodel with kitchen productivity enhancements is nearing completion and includes both the existing kitchen line retrofit and the additional make-line for online and delivery orders. In addition, we are in the process of determining the exact right match of these kitchen productivity improvement ideas against our higher-volume higher-opportunity units. We have developed two different target levels of investment for our unit refurbishments: unit refreshes with an average investment of approximately $250,000 to $300,000 and more extensive unit remodels with a target investment of $525,000 to $590,000 per unit. Seven remodel refreshes were completed in the first quarter of 2022 and 15 in total have been completed since 2021. We are targeting 20 to 30 refreshes and remodels in 2022 with the majority of projects being of the lower-investment refreshes. We are currently highly encouraged by the early sales lift achieved from the refreshes and remodels. We completed 11 refreshes to-date with an estimated average pre/post sales lift of 6% to 7% when compared to comparable market level performance. In addition, our refurbishment sales lift is exceeding our expectations with an average cost below targeted levels. Finally, our fourth strategic priority is to target increased investment in store and field talent development to improve our execution ability, increased team retention and deliver improved customer satisfaction. As we noted last quarter, we have reprioritized our operations leadership to focus first and foremost on people guests and team members then followed by operating process. We know from our own experiences that managers that place a higher priority and focus on people first, drive a higher level of restaurant sales and profit. As we noted on our last call, we have developed a more comprehensive training program for the redesigned Executive General Manager role including leadership development and talent management training. Our first training class was completed in the fourth quarter and we are on track to complete this training across our brand by the end of 2022 covering 100% of our restaurant leadership, including every general manager and district manager, as well as field human resources and training team members. In addition, we have significantly increased the emphasis on people and development in our operations training and communication, as well as making this focus a major theme at our upcoming Annual Operations Conference. Finally, we expanded the number of regional directors of operation from four to seven to reduce their span of control, also aimed at improving the execution of our guest proposition allowing greater focus and time on team member development and coaching. We can clearly see that, the redefined general manager role combined with investments in field talent development, at all levels improves execution, increases team retention, and drives greater guest satisfaction, all of which leads to improved financial performance. To recap, we are on track with all four of our strategic initiatives, to achieve the goals we set for 2022. In the first quarter, we made measurable progress on each initiative and we expect to see, accelerating sales momentum in the balance of the year, as a direct result of these initiatives. While expanding the capacity of our stores to meet unmet demand is a key focus with our strategic approach, improving the overall efficiency and productivity, of our business also remain a top priority, as we have moved along our plans aimed at reducing our overall G&A to a target range of 8.5% to 9% of current sales on a run rate basis during 2022. We have finalized implementation plans for the second half of 2022, and expect to see the positive impact over that time frame. In summary, our team's efforts to proactively and successfully manage external labor supply and inflationary challenges have delivered sustainable improved progress in the quarter. We are highly encouraged by our continued sales and margin momentum thus far in 2022, something we expect to see continue for the balance of the year, barring unforeseen changes in our operating environment. Finally, and most importantly, we will continue to drive revenue and profit growth across our business through enhancements to our customer experience across all service channels, implementation of further upgrades to our digital platform, continuing to develop the capabilities of our field management teams, continuing to execute our brand proposition through remodeled and refreshed restaurant designs, and by unlocking unmet demand through improved kitchen capacity and productivity. Dirk will now provide a financial update.
Dirk Montgomery: Thank you, Rich, and good afternoon, everyone. I'll start by reviewing our first quarter results, and then provide you with an update on our outlook for the remainder of 2022. As a reminder, due to the divestiture Taco Cabana's results are presented as discontinued operations in our financial statements. The consolidated results, I'll be reviewing today will be focusing on continuing operations and on the Pollo Tropical brand. Overall, we were pleased with our strong comparable restaurant sales growth in the first quarter of 8% versus 2021, and our comparable restaurant sales were at or above 2019 levels for the third consecutive quarter, with first quarter 2022 comparable restaurant sales of 4% versus 2019. This is the highest sales trend versus 2019 that we have seen in the post-pandemic period very encouraging. In addition, as we indicated last quarter, our restaurant EBITDA margins, a non-GAAP measure have now almost fully recovered to our targeted range of 18% to 20%. Most importantly, we made strong and measurable progress on our growth initiatives and expect those initiatives to contribute meaningfully to sales growth for the balance of this year. Regarding sales performance, the first quarter improvement compared to 2021 resulted from a 15% increase in the net impact of product and channel mix and pricing and a decrease in comparable restaurant transactions of 7%. The increase in product/channel mix and pricing versus 2021 was driven primarily by menu pricing of 13.8% and mix impact of 2%, partially offset by increases in discounts and promotions of 0.8%. First quarter 2022 mix impact was driven by successful add-on offerings including avocado slices and check accretive new menu items and LTOs including the return of the Grillmaster Trio, Churrasco Steak protein items and the Surf-n-Turf Trio. In addition, our strong sales momentum has accelerated to date in May with the May month-to-date comparable restaurant sales trend exceeding both the first quarter and April comparable restaurant sales levels. Total revenues increased 8.4% to $95.6 million in the first quarter of 2022 from $88.2 million in the first quarter of 2021, driven by the comparable restaurant sales increase. First quarter 2022 consolidated net loss was $1.4 million or $0.05 per diluted share and includes approximately $0.1 million from discontinued operations. The first quarter 2022 loss from continuing operations was $1.3 million or $0.05 per diluted share. This compares to consolidated net loss in the first quarter of 2021 of $2.1 million or $0.08 per diluted share including a $0.05 per diluted share negative impact from discontinued operations. First quarter 2021 net loss from continuing operations was $0.7 million or $0.03 per diluted share. On an adjusted basis first quarter 2022 consolidated net loss from continuing operations was $0.4 million or $0.02 per diluted share, compared to adjusted net income of $1.4 million or $0.05 per diluted share in the first quarter of 2021. Please see the non-GAAP reconciliation table in our earnings release for more details. Consolidated adjusted EBITDA a non-GAAP financial measure was $5.3 million and 5.5% of revenue in 2022, compared to $9.7 million and 11% of revenue in 2021. Turning to restaurant level results. Restaurant level adjusted EBITDA margin a non-GAAP financial measure was 16.1% in 2022, compared to 21.2% in 2021. Restaurant level EBITDA margins declined during the first quarter compared to 2021 primarily due to higher labor and commodity costs, which were only partially offset in the quarter given our pricing action to offset those costs in the last month of the quarter. As we communicated previously to maintain value perceptions with our customers, we implemented a phased approach to menu price increases and took a lower pricing increases on items purchased by value-conscious customers including our Pollo Time promotional items. Recent price increases include a 5.2% price increase in mid-December 2021 and a 5.0% increase in March of 2022. As a result of this phased approach to menu price increases, margin improvement is trailing the impact of cost increases with improved margins expected in future quarters compared to the first quarter of 2022, barring unforeseen changes in our cost structure and operating environment. Following the price increase in March, our estimated run rate level adjusted EBITDA margin was above 17%. After adjusting for operating expense items that were onetime expenses in the first quarter, the estimated run rate restaurant level adjusted EBITDA margin would have been approximately 30 to 50 basis points higher. We continue to target restaurant-level adjusted EBITDA margins, a non-GAAP financial measure of 18% to 20% as our sales growth and labor optimization initiatives increasingly gain momentum. Regarding the first quarter trends in key expense categories, cost of sales as a percentage of restaurant sales in the first quarter of 2022 increased to 32.3%, compared to 31.1% in 2021 due to higher food and packaging costs, partially offset by our phased menu price increases. Restaurant wages as a percentage of net sales increased to 24.8% in the first quarter of 2022 from 23.2% in 2021, driven primarily by higher labor costs due to higher wage rates and overtime due in part to labor shortages, partially offset by lower medical benefits, including the impact of higher sales and lower incentive bonus costs. Other restaurant operating expenses as a percentage of restaurant sales increased in the first quarter compared to 2021, due primarily to the impact of higher repair and maintenance costs, higher utility costs, higher delivery fee expense due to increased delivery channel sales and higher insurance costs. Rent in the first quarter increased compared to 2021, due primarily to the impact of lease renewals at higher rates. General & administrative expenses were $12.3 million for the first quarter of 2022 and $10.7 million for the first quarter of 2021, due primarily to increased professional fees, higher employee benefits and other support costs. General & administrative expenses for the first quarter of 2022 included $1.3 million in non-recurring expenses comprised of $0.7 million of professional fees, $0.3 million digital platform costs and $0.3 million of general and administrative efficiency initiative costs. The remaining portion of the increase in 2022, compared to 2021 was driven primarily by medical claim expense increases. Turning now to cash flow-related comments, in the first quarter of 2022 our total cash balance was $40.8 million including $3.6 million of restricted cash and grew slightly from the fourth quarter of 2021 total cash balance of $40.6 million. Capital expenditures in the first quarter of 2022 were $3.8 million. In addition, we continue to have no bank debt on our balance sheet. And we have $10 million in undrawn revolver capacity as an additional source of liquidity, as part of the loan agreement we executed in 2021. One additional cash benefit we expect looking forward, is the final payments of the insurance claim proceeds from the costs associated with Winter Storm Uri. We reached a partial settlement in the fourth quarter of 2021 and we are in the process of finalizing our claim with insurers. I'll close with a few comments on our outlook for the remainder of 2022. We are very encouraged by our sales momentum thus far, in 2022 that continues to accelerate month-to-date in May. We are very focused on achieving our growth objectives through our four key growth initiatives and we are on track with those initiatives so far this year. And we expect them to continue to contribute to accelerating sales growth for the balance of the year. Regarding commodity costs, we have finalized contracts on all major commodities for calendar 2022 and our recent pricing actions in the fourth quarter of 2021 and March of 2022 are expected to fully offset our estimates of 2022, commodity cost increases on a dollar cost basis. On a full year basis, we expect food and packaging cost increases in 2022, compared to 2021 of 15% to 20%. As we expected, margins improved in the first quarter to a run-rate -- sorry to run-rate approaching 18% and we continue to target restaurant-level adjusted EBITDA margins of 18% to 20%, as our sales growth and labor optimization initiatives increasingly gain momentum, barring any unforeseen changes in the operating environment. From a labor rate perspective, we feel comfortable that our current wage rates are competitive based on recent benchmarking, at a unit level by role that confirmed our current rates are at or above market. We believe that any additional inflationary pressure in food or labor costs for the balance of the year can be successfully offset by, a combination of additional pricing actions and ongoing labor optimization initiatives. Regarding capital expenditures, we expect full year 2022 capital expenditures to be in the range of $25 million to $30 million. The increase from 2021 spending is being driven largely by refreshes and remodels for which we expect to invest $7 million to $10 million and total technology investments in the range of $4 million to $6 million, primarily in our digital platform and restaurant technology infrastructure. In closing, we are encouraged by our accelerating sales and margin momentum thus far in 2022, which we expect to continue as we build on the momentum of our strategic growth initiatives. Finally, we will continue enhancing the customer experience across all service channels, further investing in our growing digital platform and the development of our field management teams refining our brand position and new unit design features and additional refresh and remodel tests to drive future growth and unlocking unmet demand through improved kitchen productivity. Thank you for listening and we will now open the call up for questions. Operator?
Operator: Thank you.  Our first question comes from Edward Reily from EF Hutton. Please go ahead.
Edward Reily: Hey, guys. Thanks for taking my call. You guys mentioned a 6% to 7% increase in revenue for refreshed units. I was wondering if you had any data on the remodels?
Dirk Montgomery: Yes. So Eddie, thanks for the question. So the remodel lift, we're in early stages on the remodels, so we haven't had a lot of post-remodel period in those remodels in aggregate. So we weren't publishing that number, but we can tell you that so far the lift on the remodels is actually in excess of the refreshes and above our expectations by the way. So we're very encouraged by the remodel lift, but we need a little bit more time in the post period to really feel comfortable that what we're seeing is going to continue. But we have no reason to think that it won't. So, so far, so good, actually much better than we expected.
Edward Reily: Okay. Got you. And on that 6% to 7% boost in revs, I'm assuming that that drops right to the bottom line. And I'm calculating out over 50% return on investment. Should we expect the same or similar for the remodels?
Dirk Montgomery: I mean it's a little bit early for us to really kind of get a feel for the returns on the remodels just given how early we are. But going back to the refreshes, your math is correct. We typically see a 40% flow-through on incremental sales. This is incremental traffic and sales. So that 6% to 7% is actually incremental to, on a pre/post basis incremental to the market performance for each unit. So we look at the pre/post for that unit compared to its comparable market. So the actual absolute lift is actually higher than the 6% to 7%. But, yes, so far I think we're happy. We're very happy with the lift and we're happy with the returns.
Edward Reily: Got it. And then you guys have mentioned a share repurchase plan in the fourth quarter. I was wondering given the recent volatility in the market, could you comment on how you're thinking about capital allocation with regards to share repurchase?
Rich Stockinger: We just completed the previously approved share repurchase program. The only thing I can say is that our Board continually evaluates available options to maximize shareholder value.
Edward Reily: Okay. Great. And a final one for me. Just was wondering with all this recession talk, how do restaurants typically perform during times of economic stress?
Dirk Montgomery: Sure. So I mean two comments. Number one, in the last downturn that we had the restaurants performed very well. We saw a lot of trade down from casual and higher-priced options. And when people trade down, they typically trade down to quality. And as you know our quality scores, quality perceptions with consumers is very high. So I think we would expect to do well. And also, our value perceptions among consumers is well above the QSR benchmark as measured by our customer survey tracking. So I mean we feel really good about our ability to actually continue the trends that we've got, if we enter a further downturn. But also with additional inflationary pressure, we feel very comfortable that we can offset that pressure with additional price.
Edward Reily: Great. Thanks guys.
Rich Stockinger: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the management team for any closing remarks.
Rich Stockinger: Again, we're really excited with the results the continued momentum in both sales and the margins and look forward to reporting our second quarter results shortly. Thank you.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.